Operator: Hello, and welcome to McDonald's Fourth Quarter 2023 Investor Conference Call. At the request of McDonald's Corporation, this conference is being recorded. Following today's presentation there will be a question-and-answer session for investors. [Operator Instructions] I would now like to turn the conference over to Mr. Mike Cieplak, Investor Relations Officer for McDonald's Corporation. Mr. Cieplak, you may begin.
Mike Cieplak: Good morning, everyone, and thank you for joining us. With me on the call today are President and Chief Executive Officer, Chris Kempczinski; and Chief Financial Officer, Ian Borden. As a reminder, the forward-looking statements in our earnings release and 8-K filing also apply to our comments on the call today. Both of those documents are available on our website, as are reconciliations of any non-GAAP financial measures mentioned on today's call along with their corresponding GAAP measures. Following prepared remarks this morning, we will take your questions. Please limit yourself to one question and then re-enter the queue for any additional question. Today's conference all is being webcast and is also being recorded for replay via our website. And now, I turn it over to Chris.
Chris Kempczinski: Thank you, and good morning, everyone. When we gathered at this time last year we shared the despite a challenging operating environment McDonald's continued to deliver historically high levels of growth. While macroeconomic pressures persisted throughout 2023, the resilience and power of our system was on full display, and we are heading into the new year in a position of strength. In 2023, we achieved global comp sales growth of 9%. Delivered comp guest count performance of nearly 3% globally with positive traffic across each of our segments, and maintained our leading market share across most of our major markets. These results are a credit to the tireless dedication of the entire McDonald's system. The over 2 million talented people working in our restaurants, the industry's best franchisees and our world-class network of suppliers around the world, all executing with excellence and with an unwavering commitment to serving our customers and local communities. And in our restaurant focusing on the fundamentals of creating an exceptional customer experience has delivered operational improvements, improved service times and increased customer satisfaction across almost all of our major markets. Our Accelerating the Arches strategy is working, fueling over 30% comparable sales growth since 2019 and our MCD growth pillars enable us to remain agile in response to changing customer needs. For example, we've expanded loyalty to 50 markets around the world and reached over 20 billion in annual loyalty system-wide sales in 2023. Our user base continues to grow with over 150 million users that have been active in the last 90 days, making us one of the largest loyalty programs in the world. Over the last three years, we've also delivered tremendous growth in chicken by developing the McCrispy, a globally consistent high quality chicken sandwich. With the goal of solving this unmet customer need across the system, it was developed and tested in a few markets first and has quickly scaled to $1 billion brand across more than 30 markets worldwide. Our chicken category now represents $25 billion in annual system-wide sales, on par with beef. And about a year ago, we formed a new business ventures team designed to operate as an entrepreneurial startup within McDonald's. The team quickly identified an opportunity in a $100 billion category across our top six markets that comprised of beverage-led occasions where our core McDonald's business underindexes. In a little less than a year, the team opened a pilot CosMc's restaurant, and the buzz has been electric. Now let me say this again, we're only talking about a 10-store test. But more than that, we're excited about what this says about our potential to test, learn, and innovate quickly. Each of these examples illustrate our ability to identify opportunities and adopt new ways to surprise and delight our customers. It gives us an incredible amount of resilience as a system, no matter where the customer goes next or what the macroeconomic landscape may bring. In the last year, we also implemented Accelerating the Organization, an effort to modernize the way we work so that we're faster, more innovative, and more efficient. And over the past year, as I've had the opportunity to visit markets around the world, I've witnessed how the principles of ATO have empowered our teams to take the right risks, lead in innovation, and reduce complexity in decision making. Some of the senior leadership team and I recently visited Salt Lake City, and I witnessed firsthand how knowledge sharing across the system is unlocking speed and driving customer lifetime value. The business unit is part of our Denver field office, which, as a whole, has embraced the power of digital, maximizing our platform to drive frequency and engagement with customers. This means, that the restaurants can take full advantage of Ready on Arrival. In addition to a national average 60-second reduction in wait times for customers that pick up curbside in our restaurant, or higher customer satisfaction in these transactions. Ready on Arrival benefits the crew by giving the right information to the right person in the restaurant to deliver food faster and hotter. As a result, we've reduced complexity and stress in restaurants, and Salt Lake franchisees are driving higher levels of guest count growth and franchisee cash flow. By removing layers between our people and the restaurants and implementing a One McDonald's way approach, collaborating across the organization is much more intuitive and teams bring the full breadth of McDonald's resources, skills and experiences to the forefront when making decisions. And as critical as this power of global scale is to our competitive advantage, at our core, we are a global business that is run by local small business owners that employ thousands within their communities. Since the beginning of our brand's history, McDonald's and our franchisees have been steadfast in the support of our communities in the most challenging times. And whether it was the recent earthquake in Japan, the tragedies that struck Morocco and Hawaii last year, or the war in the Middle East, our focus is on creating a positive impact in the communities we serve. Across the more than 75 markets in our IDL segment, McDonald's is a major employer of local citizens, creating valuable career opportunities for more than 780,000 local employees in both restaurant and office jobs and at more than 1,000 locally owned suppliers. We're proud to grow that footprint. In 2023, the IDL segment opened an average of four new restaurants every single day, creating new jobs for nearly 50,000 people this year alone. And by removing barriers for children who need healthcare, Ronald McDonald's House Charities helped to provide essential services for over 870,000 families across this segment. For the over 130,000 workers in our Europe, Middle East, and Africa business, our number one priority is keeping our people safe. We recognize that families and their communities in the region continue to be tragically impacted by the war and our thoughts are with them at this time. McDonald's has always been a beacon in our communities around the world, led by local franchisees who work tirelessly to serve and support. The ongoing impact of the war on these franchisees' local businesses is disheartening and ill-founded. As our values state, McDonald's will always proudly open our doors to everyone. Thinking back on 2023, I can't help, but feel tremendous pride in the entire McDonald's system. And as we think about our ambitions and the potential that lies ahead, there's never been a better time to be part of brand McDonald's. As I will continue to say, we believe there's still significant runway in our Accelerating the Arches strategy and we're setting our sights even higher. I'll speak more on the year ahead in a few minutes, but first I'll turn it over to Ian to talk through our Q4 results.
Ian Borden: Thanks, and good morning, everyone. As Chris mentioned just a few minutes ago, core to Accelerating the Arches strategy is putting the customer at the center of every decision we make, acting with agility in any environment to deliver delicious, feel-good moments at an affordable price each and every day. Our quarter four comp sales performance of over 4% in both the U.S. and IOM segments and over 3% globally remains a direct result of exceptional execution against this strategy, making it clear once again that our business is resilient despite ongoing macro pressures and challenges. As a system, we've navigated countless challenging environments since we first opened our doors in 1955. This past quarter was no exception, and our thoughts remain with the families and communities impacted by the war in the Middle East. As Chris and I have both mentioned before, the war has meaningfully impacted our IDL segment performance, resulting in fourth quarter comp sales of less than 1%. Despite this, our business model provides stability in our P&L from the negative sales impact in the region. Among the many strategic advantages of McDonald's are our size, scale, and geographic diversity, translating to incredible resilience as a system. We will continue to stay focused on supporting our people and the local communities in which we operate as we work closely with our [DL] (ph) partners in the region. We are extremely proud of the way our system continues to conistantly show up for customers in every corner of the world, highlighting time and time again the strength of the McDonald's brand when our system comes together. Providing our customers with affordable options has always been core to our brand, and it's even more important as consumers feel pressure on their spending, particularly the lower-income consumer. We continue to listen to our customers by evolving our value offerings, maintaining strong perceptions in value for money and affordability. Canada, for example, maintained their McMuffin and hot coffee pairing this quarter, providing an affordable bundle during a critical day part and helping to drive market share gains in breakfast. The UK followed a similar playbook by expanding their Saver Meal deals to offer smaller bundles during the morning day part for just a few pounds. Only available through our mobile app, this further cemented McDonald's UK as a destination for great food at great value, while contributing to increased loyalty sales. The UK also combined the strength of the McDonald's brand with its proven history of connecting with customers through successful holiday marketing to create Festive Wins, an elevated in-app experience that leaned into the holiday spirit with a fun and interactive calendar promotion. Through our combination of daily deals, compelling prizes, and exclusive merchandise, Festive Wins boosted digital engagement to an all-time high for the market and generated 4 million active monthly customers. And in Australia, the market brought back its 30-days, 30-deals promotion, where customers enjoyed a daily deal available exclusive in the MyMacca's app. From discounts on our most iconic menu items like the Big Mac cheeseburger or our world famous French Fries to unique meal deals, the promotion drove remarkable engagement and contributed to a record number of active loyalty members in the market. Beyond maintaining an affordable price point we're constantly elevating the McDonald's experience enhancing the overall value of proposition of the brand. This was evident as many markets offered monopoly this quarter, leveraging learnings from across the globe to create highly interactive campaigns and once again igniting our fan's love for McDonald's. The Canadian market tapped into global best practices by offering MONOPOLY with a double peel option for the first time this year. By giving customers a second chance to win in the app. The market continued to amplify the digital experience, while maintaining those core qualities of the game that our customers love. The customer excitement was on full display and the market achieved record-setting results generating nearly 700,000 new app customers in just five weeks and driving significant lifts in mobile app sales. In fact, more than 43 million MONOPOLY codes were digitally redeemed during the promotion. That's more than the entire population of Canada. Germany also experienced record-breaking registrations with their MONOPOLY program by combining iconic peel-off game pieces with the ability to scan to win prizes in the mobile app. And for the first time, Germany offered loyalty points as prizes, rewarding our customers and driving additional digital customer frequency. And in France, MONOPOLY drove additional loyalty sales with an interactive redemption experience for our customers. We continue to navigate a difficult operating environment in the market, where results were softened and comp sales were negative for the quarter. Moving forward, we're confident that we have the right leadership team in place with the right experience to reset with our franchisees who I know are committed to restoring our strong foundation. We're acting with a sense of urgency to address our opportunities and maintaining a growth mindset in critical areas like value, core menu and delivery. Our One McDonald's Way approach to marketing extends beyond MONOPOLY as we continue to drive brand strength, building cultural relevance, and connecting with our customers and crew in new and exciting ways. This quarter, we once again tapped into the nostalgic McDonald's experience of enjoying a happy meal as a kid and recreated it for our adult fans, featuring our core menu favorites at the center. Originally launched in the U.S. in 2022, we brought back the campaign to the market in December partnering with artist and creator, Kerwin Frost, and scaling it to 15 additional markets including Canada. The excitement for the return of this event was evident, driving a significant social media engagement across many of our channels. And by encouraging our customers to trade up with a full margin promotion, we feel top line growth with a strong average checklist. In an environment where our customers are looking to familiar favorites those core menu items have never been more relevant or beloved. At the center of our core menu are an iconic portfolio of brands. $17 billion brands in their right, including four different chicken equities that are each $1 billion brands. We continue to stay aggressive on chicken this quarter making further progress towards our ambition of developing a reputation for great chicken. Germany re-hit the McCrispy chicken sandwich with strong results driving a lift in chicken sandwich sales and building additional customer affinity for the product. And the UK built on its market leadership in chicken by extending the McCrispy brand with a limited time offering, the McCrispy Smokehouse, combining new and exciting flavors and ingredients with our core chicken offerings. In China, with slowing macro-economic conditions and consumer confidence near record lows, the market continued to build brand equity by combining our delicious food with culture and community through a collaboration with local streetwear designer Verdict. The campaign not only featured access to exclusive merchandise, but put our delicious chicken at the center and drove incremental traffic into our restaurants by offering customers a discount on a second order. Turning to our P&L, our top line growth drove adjusted earnings per share of $2.95 for the quarter. This is an increase over the prior year of 11% in constant currencies, excluding current year charges of almost $140 million for write-offs of impaired software no longer in use and charges related to our Accelerating the Arches growth strategy. Foreign currency translation positively impacted fourth quarter results by $0.07 per share. For the full year, adjusted operating margin was just over 47%, reflecting higher restaurant margin dollars across all segments. Despite the significant P&L pressures that we've discussed throughout the year, top line results generated $14 billion of restaurant margin for the year, an increase of about 10% in constant currency. Lastly, before I hand it back over to Chris, I want to touch briefly on our capital expenditures and free cash flow profile. Our CapEx spend for the year was approximately $2.4 billion, with more than half invested in new unit development across our US and IOM segments. After reinvesting in the business our free cash flow conversion was in the 90% range for the year. Now with that, let me turn it back over to Chris.
Chris Kempczinski: Thanks, Ian. As we look to 2024 with elevated absolute prices and muted consumer confidence, we believe that consumers will continue to be more discriminating with their dollars, but we expect our focus on our MCD’s will continue to drive growth across our business. And from a historical perspective we know our resilience is rooted in our ability to adopt in any environment. McDonald's is one of the world’s most recognized and most bellowed brands, providing delicious meals at an affordable price and showing up when and where customers need us. By building a One McDonald's way of approach marketing and creative excellence, we will continue to scale the best ideas globally through common tools and processes that help us maximize return on investment and that shine a light on what people love about McDonald's. We're creating an environment that embraces bold creative and we're remaining connected to culture by tapping into the moments, memories, rituals, and behaviors that people have with our brand. And McDonald's position on value is a competitive advantage with a strategy rooted in customer behaviors and insights. We are optimizing price while limiting customer resistance. As we continue to attract millions of new loyalty members, we can get even smarter with our pricing methodology and tailor our digital offers to our fans, making them even more personalized. Looking ahead, we'll also continue to make our core menu even more enticing. With initiatives like Best Burger, we've made small changes that are adding up to a big difference that our customers are really noticing. Best Burger is now deployed across more than 70 markets, including the U.S. And we're excited about the potential for growth as it deploys to nearly all markets by 2026. And as we look to build on our leadership in beef, we're addressing an unmet customer need across markets for larger high quality burgers. We're working horizontally across the system to innovate. As we test and learn, we'll be working to understand how the new offering will complement our already established burgers, like the Double QPC or the Big Tasty. We're also excited to further build on our success in chicken by continuing to in invest in bellowed icons like McNuggets and McChicken, while further scaling the emerging favourites like McCrispy and McSpicy. These four equities are the building blocks of our growing chicken business and we see the potential to add another point of chicken share by 2026, in part through an expansion of our McCrispy platform into wraps and tenders. We've made incredible progress across our 4Ds by taking the things our customers love about McDonald's from convenience to personal connections with our brand and making them even better. For example, Ready on Arrival will expand across our top six markets by the end of 2025. And while we've built one of the largest loyalty programs in the world in just a few years, over 150 million active users today represents only a fraction of our total customers. We aim to reach 250 million active users and $45 billion in annual loyalty system-wide sales by the end of 2027. And as you heard during our investor update, the world's largest restaurant company is planning to grow even faster over the next four years. We know our ambition to reach 50,000 restaurants by the end of 2027 is a compelling opportunity and we've done our homework. We've identified key areas with high population growth and lower store density across both our IOM and U.S. segments, and that's where we're starting. These opportunities before us in the near term are compelling, but as we plan for long-term growth and solidifying McDonald's leadership position we've introduced three new platforms that will become part of Accelerating the Arches to build on our competitive advantages, cement our place and culture, and stay one step ahead of the next generation of digital customers. This includes building one of the largest consumer platforms in the world to attract and retain highly valuable digital and loyalty customers. The easiest and most efficient restaurant operating platform that puts intuitive technology in the hands of our restaurant teams and drives a better experience for both our customers and our crew, and the company platform that unlocks speed and innovation. We believe our biggest opportunity to advance and acquire new customers and build more meaningful customer relationships that result in greater frequency and spending is continuing to aggressively invest in digital and technology as a three-legged stool. For our customers, we will better leverage the data we have across our loyalty programs to provide targeted offers and personalized experiences, building relationships with the customers that we serve every single day and ensuring that they enjoy a more familiar, consistent experience no matter where they go or how they [were] (ph). For restaurants, it's investing to put the most intuitive technology in the hands of our restaurant teams that makes their jobs easier and empowers them to provide amazing hospitality, while serving hot and accurate orders to customers even faster. And for the company, it is building the systems, processes, and tools that will enable our people to be more efficient and innovate with speed and agility. As I've said before, these are bold plans, but our success tomorrow has always depended on our ability to stay ahead of our customers changing needs, while reimagining what a restaurant can be. We're building the engine that will power McDonald's ability to unleash the full strength of our global scale where it counts. I’ll now turn it back over to Ian to talk through our 2024 financial outlook.
Ian Borden: Thanks, Chris. As we've discussed, we continue to operate in a challenging environment with varying levels of headwinds across our markets. Looking ahead to this year, we anticipate these headwinds will continue as the current macro dynamics continue to weigh on both our consumers and our business results along with the war in the Middle East. As we navigate these ongoing challenges, continuing to execute at the highest level with a laser focus towards growing market share will be critical. It's clear that we've had exceptional success over the last four years with strong broad-based momentum and global comp sales of over 30% when compared to 2019. It's truly remarkable. But as we’ve mentioned before, we anticipate 2024 comp sales growth will continue to moderate as we return to a more normalized level of growth with expectations closer to historical averages of between 3% and 4% in our U.S. and IOM segments. And in IDL, we do not expect to see meaningful improvement until there is a resolution in the Middle East. We expect our net restaurant expansion in 2024 along with restaurants we opened in 2023 will contribute nearly 2% to system wide sales growth as we begin to accelerate our new unit development and make progress against our target of 50,000 restaurants by 2027. With expectations of moderating sales growth and ongoing inflationary headwinds, we expect our company operated margin percent will remain pressured in the near term and we expect the full year 2024 company operated margin percent will be relatively in line with 2023. Turning to G&A, the financial strength of our system enables us to invest in areas that will drive long term efficiencies for our people and for our stakeholders. We expect 2024 G&A as a percentage of system wide sales to be about 2.2%, which reflects elevated investments in technology, digital and global business services or GBS. Through these investments we'll look to run the business more efficiently over time, and ultimately free up more resource to continue to drive long-term growth. Despite headwinds throughout the P&L, we anticipate an operating margin of mid to high 40% in 2024, driven primarily by top-line growth and franchise margin performance. We're projecting interest expense this year to increase between 9% and 11% compared to 2023 due to higher average debt balances and interest rates and we expect our effective tax rate for the year to be between 20% and 22%. Transitioning to capital expenditures we plan to spend between $2.5 billion and $2.7 billion this year, more than half of which will be dedicated to new unit openings across our U.S. and IOM segments. Globally, we plan to open more than 2,100 restaurants this year, with about 500 of these openings in our U.S. and IOM segments, where we continue to see strong returns. We also expect to open more than 1,600 restaurants in our IDL segment this year, including about 1,000 in China, where we recently completed the acquisition of Carlyle's 28% stake in McDonald's China. We're excited to have increased our minority ownership to 48% in our second largest and fastest growing market and believe it will enable us to further benefit from the market's long-term potential. Overall, we anticipate about 4% unit growth, driven by more than 1,600 net restaurant additions in 2024. And finally, we expect to generate strong cash flow in 2024 with free cash flow conversion in the 90% range. Going forward, our capital allocation priorities remain unchanged. First, investing in the business to drive growth. This includes both capital expenditures, as well as increased cash investments in technology, digital, and GBS. Second, returning all remaining free cashflow through dividends and share buybacks over time. While the macro environment remains challenging, we believe that our Accelerating the Arches strategy is the right playbook and we continue to maximize our [MC&D] (ph) growth pillars to drive strong results. We have confidence that our competitive strengths and our ability to continue to evolve to stay ahead of the customer positions us to succeed in any economic environment, delivering long-term growth for our system and our shareholders. Now let me turn it back over to Chris to close.
Chris Kempczinski: For nearly 70 years the McDonald's story has been one of growth, a first job for millions, the best franchising opportunity in the world, and a familiar beacon of support for the over 40,000 communities we serve. In fact, our U.S. business generated 1.4 million jobs and contributed $108 billion to the U.S. GDP in the last year alone. Even as the world around us continues to change the power of our brand has stood the test of time. That’s because McDonalds’s continues to reinvent itself and stay one step ahead of our customers. While our Accelerating the Arches strategy is working, we will only keep growing when we're continuing to take smart risks and operating with the long term mind set. Ray Kroc said it best, the only way we can advance is by going forward individually and collectively in the spirit of the pioneer, in the pride of accomplishment. Even with all that we've accomplished since the launch of Accelerating the Arches, I am confident that there is so much more that we can achieve. I look forward to coming together with all three legs of our stool at our upcoming worldwide convention this April to share how we will reimagine our future together. Thank you to our franchisees, suppliers, and employees whose passion and dedication is central to bringing the McDonald's experience to life for our customers each and every day. With that, we'll take questions.
Operator: Thank you. [Operator Instructions]
Mike Cieplak: Our first question is from David Palmer with Evercore.
David Palmer: Thanks. Probably just a two-parter. Quickly, do you think that there's any impact from boycotts to IOM results anywhere, even if they're slight? And then separately, the multi-year trends this year have been stable for a lot of the year, basically since the second quarter. I'm really thinking the U.S. very strong compared -- very strong multi-year trend. So there's no shame in these remaining stable. I'm just wondering if you think that there is a reason for those trends to reaccelerate or there's a lesson in that, maybe your best play because, obviously, we're dealing through some very noisy months here with weather and whatnot over the fourth quarter and here in January. So I'm wondering how you're viewing that with the goal perhaps being that multi-year trend can reaccelerate in 2024 and your best play to make that happen. Thank you.
Chris Kempczinski: Hi. David. It’s Chris. Thanks for the question. First on your question about the Middle East. Obviously the place that we are seeing the most pronounced impact is in the Middle East, we are seeing some impact in other Muslim countries like Malayasia, Indonesia. And then as far as IOM impact, it depends on the country. So in a country, for example France that has a larger Muslim population, we are seeing some impact in France. It depends very much on where the restaurant is located and if it's in a Muslim area. But we are seeing some impact there. And then in other countries, like Spain, like in Italy, we're seeing no impact. So it really depends very much on the country. But, as I said, the most pronounced impact that we're seeing is in the Middle East and in Muslim countries like Indonesia and Malaysia. Also, as we said in our prepared remarks, our outlook is, so long as this conflict, this war is going on, we're not making any plans, we're not expecting to see any significant improvement in this. It's a human tragedy what's going on, and I think that that does weigh on brands like ours. Back to your other question about potentially a reacceleration as we also said in the prior remarks and we also talked about it at Investor Day, we're expecting 2024 to be normalizing comp sales growth in that kind of 3% to 4% range, which is, where we've been more historically. So, we certainly had great performance over whether you look at it on a two-year horizon, a four-year horizon, 30 plus percent on a four-year horizon, call it 14% or so on a two-year horizon. So, feel great about that, but I think we are moving into 2024 that’s going to look more like what you would have considered a typical year prior to COVID and all the things that have gone on.
Mike Cieplak: Our next question is from John Ivankoe with JPMorgan.
John Ivankoe: Hi, thank you. The question is on France, and France has obviously been a leading market for McDonald's in a lot of ways for a couple of decades now, and in some cases it has actually been a leading indicator of positive performance in other markets or things that were done in France that were then copied by others quite successfully, implemented by others quite successfully. So it did sound like you had some self-help in France, value, core menu and delivery. I mean, did you find yourself, I guess, kind of catching up from behind in some of those metrics? I wanted to understand a little bit more maybe what you could have done differently in the fourth quarter to improve results? And do you think possibly there could be some leading indicators in France that are happening now within the market, of course, excluding the Middle East sentiment, that maybe we can apply to other markets to ensure those markets don't dip negative in the near term.
Chris Kempczinski: Sure, thanks for the question. You're right in pointing out France for us has been historically one of our best markets. We have some of our highest customer satisfaction in that market. We have some of our highest franchising cash flows in that market. We're not happy with our performance in France right now. And if I were to isolate two areas that we are focused on to improve in France, the first is, we did get offsides on value there. The team has done a very nice job in pivoting and just put in place a new value program there that we're seeing great early success with that. But certainly, that was a reaction and we don't want to see that. And then second, we continue to have operations opportunities in France and that's something that we've been having a lot of engagement on with our franchisees. So as I think about IOM, certainly lessons there. But on the positive side, France is certainly our most pressured market right now in France -- or in IOM, but I also feel very good that we're going to get that business back on track and continue to have the performance that we've become accustomed to in that market over many, many years.
Ian Borden: And maybe, John, I'll just build on a bit on Chris' comments. I mean, I think two things. One is, as we talked about in our prepared remarks, we've got almost an entirely new leadership team in place in the market, a team that has a tremendous amount of McDonald's business experience and we have a lot of confidence in that team and the experience they bring, I think, to drive the right catalyst. I think when you have a market that maybe is a little bit off track, what you look to, have you got the right people with the right experience to drive change. And then do you feel like you have clarity of sight to the kind of underlying issues that you need to address. And I think on both of those fronts, we feel good. Obviously, as Chris spoke about, it's going to kind of take a moment to get momentum going back in the right direction. But I know together with our franchisees in France, we're going to be aggressive to kind of go after the opportunities that we exist. And I think we're very, very aligned in how we're approaching that with them.
Mike Cieplak: Our next question is from Jeff Bernstein with Barclays.
Jeffrey Bernstein: Great. Thank you very much. Chris, question as we think about 2024. First, I just wanted to clarify, I think you mentioned 3% to 4% comps in the U.S. and IOM. I'm not used to seeing such specific guidance, so that's encouraging. But I'm wondering if you could share any thoughts on the components of that between pricing, which we get the sense is easing versus traffic. And then just more broadly, the operating margin guidance from mid to high 40% range, let's say, fairly wide, I guess, 500 basis points or so range. I'm just wondering if you can help narrow or perhaps talk about what would lead margins to be at the upper versus lower end of that wide range. Thank you.
Ian Borden: Good morning, Jeff. It's Ian. So let me take that. I think as we talked about on the comps in our opening remarks, I think -- and we've been talking about it, as you know, pretty consistently over the last couple of quarters, as inflation levels have come down and, obviously, our pricing broadly is coming down in line with kind of inflation getting back to what I'll call more normal levels, I think that's why we talk about comps kind of getting back to more of that historical norm range of 3% to 4% in both the U.S. and IOM this year. I mean, I think the only texture I'd give you there is, we had a slower start to the year. I think there are a couple of important reasons for that. Firstly, we had a really strong start to 2023. So obviously, we're lapping against that. And then, I think you'll remember a year ago we talked about just the abnormally mild weather that we were dealing with as a tailwind benefit in beginning of 2023 in both North America and Europe, and so we're obviously working against that as well. I think if I was to think about the year, I think about the back half of the year probably being slightly stronger -- slightly stronger than probably the front half. Just again, we had an incredibly strong first two quarters of 2023 that we're working against. And I think some of the macro factors that were -- are going to impact us in 2024 could, I think, be slightly easing towards the back half of this year versus the front half. On op margin, look, I mean if you go back to 2019, I think we've had a pretty strong demonstration of what we will continue to talk about, which is, over time, certainly believe we continue to be able to drive leverage and op margin as we get the strong top line growth. If you go back to 2019, we were kind of in that 44-ish percent range. We ended last year at just over 47%. I think that's a pretty strong proof point of our ability to continue to grow margins as we look forward on a percentage basis. I think obviously, as Chris talked about 2024, we've got some headwinds to work through, but feel really confident about our ability to continue to grow margins over time.
Mike Cieplak: Our next question is from David Tarantino with Baird.
David Tarantino: Hi. Good morning. My question is on the impacts you're seeing in the Middle East. I guess two questions. One, could you help to quantify your estimate on how much that impacted your sales in the fourth quarter? And then secondly, could you comment on the health of your franchisees in the areas that have been most impacted and whether you think some temporary assistance will be needed as you move through 2024?
Chris Kempczinski: Hey, David, it's Chris. Just -- I'll do a couple of things and then let Ian clean up whatever I missed. But we're not going to get into specific numbers on the Middle East. But suffice to say, as you see in our IDL results, you can infer that the impact is meaningful, as I said also in our employee note at the beginning of this year. And then in terms of health of the franchisees, we're really fortunate in that we have some very strong, very well-capitalized franchisees in the Middle East. But as we have historically done, as we work through challenges around the world, you've seen us in partnership with franchisees do things to support them during difficult periods that sometimes can be deferrals, sometimes it can be other forms of support. And so those are ongoing conversations that we'll have with our franchisees. We believe that working in partnership with our franchisees and doing things together through good times and bad is the way that we've been successful over time. So it's going to be very much a situation-by-situation approach that we have in the Middle East, but certainly, the impact right now is significant. And Ian, I'll pass it off to you for anything else you want to add.
Ian Borden: Yes. Thanks, Chris. So maybe just a couple of builds to that. I mean, David, you know that, as I've talked about before, I think we've got an incredibly resilient business model. Obviously, if you look back over the last several years, we've had to work through a number of different external challenges, and I think the geographic breadth, the size and scale of our business and our financial strength means we're in a position of strength to kind of work through any of these challenges, including the one that we're currently facing in the Middle East with the war that's going on. In regards to kind of support for franchisees or DL partners, as I've talked about before, I mean, providing support is part of our business model. It's obviously how we work together with our franchisees when conditions outside of their control warrant support. But when we do that, it's always, as you know, targeted and temporary and designed, obviously, to go to owner-operators or partners who are most in need. I think as Chris said, we've got some incredibly strong partners in the Middle East, the majority of those partners have been with us for 20 years or more. We've worked through a variety of challenges over the years. And I think we'll continue to be focused on supporting our team members in the region, working with the communities that we do business in and working closely with the DL partners to get through this together. And I'm very, very confident that we'll do that.
Mike Cieplak: Our next question is from Eric Gonzalez with KeyBanc.
Eric Gonzalez: Hi. Thanks for the question. I'm wondering maybe if you could comment on China specifically. I know it's not a huge part of your profit today, but you do have some big growth aspirations in that country. So if you could comment on some of the macro challenges that you're seeing and how they're impacting results in that country? And maybe talk about how the brand is positioned to gain share in that market. Thanks.
Chris Kempczinski: Sure. Well, overall, we had a very good 2023 in China. We were happy with how our business performed in China. We're seeing strong growth there. We also built 1,000 restaurants in China. So we're very much on track from our development aspirations and we would expect to do something similar in 2024 from that standpoint. So overall headline is feel good about what we're seeing in China and the progress in growth. Certainly, in China, as you've read about and seen it with a number of other companies, consumer sentiment in the country is a little bit more under pressure right now. And that is leading to -- in Q4, in particular, we saw the environment get more promotional. We didn't necessarily follow that, but certainly the environment is getting more promotional. And our focus is on making sure that we remain competitive. So we're going to do what we need to do to maintain our competitiveness in that market. But if you think about the overall macro trends in China, I talked about this at Investor Day, we certainly think that we're going to continue to see good comp performance in that market as consumer wealth and GDP continue to grow mid-single digits. We think there's going to be an opportunity for us to continue to build out development and penetration in that market to many places where we don't really have McDonald's presence. So overall outlook on China for us continues to be very robust, which is why we increased our stake, as Ian mentioned.
Ian Borden: I might just add on a couple of things to Chris. I mean first, I would just acknowledge the team and our team in China, we opened just over 1,000 restaurants in 2023, which was an all-time high for us. And as Chris mentioned, as we talked about in our remarks, we completed the acquisition of the additional 28% to take our stake to 48% at the end of January. And I think we continue to remain really optimistic about the long-term opportunity there and our ability to have an increased stake in that long-term opportunity with that additional stake acquisition. And we're looking forward to getting that market to 10,000 restaurants by end of 2028, which is, I think, a really important milestone as we look forward.
Mike Cieplak: Our next question is from Brian Harbour with Morgan Stanley.
Brian Harbour: Yes. Thank you. Good morning. Maybe I'll just ask about the U.S. Are you willing to say kind of where pricing was in the fourth quarter and also into the first quarter? And also any color you can provide by daypart, I think we've heard some other companies talking more about late night or if you perhaps have any comments on breakfast recently?
Chris Kempczinski: Sure. Well, I'll kind of just give some macro comments. Again, have Ian pick any details. But certainly, we've continued to work through pricing in the U.S. as we were looking to offset inflation. We saw what I would describe as mid to high single-digit price increases last year. It depends a little bit on where you were in the country, but mid to high single-digit pricing. We are seeing, as I've talked about on prior calls, that particularly among the low-income consumer, there's some transaction size reduction that we're seeing. We're also seeing some trade down there. So that offset a little bit of the pricing -- the absolute pricing that we took. But I think as you think about 2024, certainly, inflation is going to be less, probably in the low single-digit inflation in 2024, and that will be consistent with where we end up on pricing. From a daypart standpoint, I'd say pretty balanced there. But breakfast continues to be a competitive area, a lot of activity going on in breakfast. Our business, as you know, is dominated around particularly lunch. That's our single biggest daypart and that daypart continues to do well. So nothing particularly noteworthy that I would say on dayparts, but Ian, maybe you have any other insights to share there.
Ian Borden: Yes. You, I think, covered all the bases, Chris, but maybe just a couple of builds. I mean, I think we did see overall pricing for the year just around 10%. But as Chris noted, in the fourth quarter that level of pricing came down, obviously, in line with inflation and was in that high single-digit range. I mean, I think we're continuing to see pretty consistent flow through with pricing, which I think is really important because it goes back to what I've spoken about before with just the tools and capabilities that we've put in place to make sure that when we are taking pricing, we're doing that in the most effective way possible. Obviously, as we head into 2024, knowing inflation has come down a fair bit from its peak. I think, as I said earlier, I think our pricing we certainly expect will come down roughly in line with that as we work through the year. We certainly know consumers are more weary or weary of pricing, and we're going to continue to be consumer led in our pricing decisions as we kind of look forward to 2024 and knowing that the environment will continue to be competitive. We'll be thoughtful together with our franchisees, obviously, who make those decisions in their own restaurants as we look forward.
Mike Cieplak: Our next question is from Dennis Geiger with UBS.
Dennis Geiger: Great. Thanks you. Chris, wanted to just follow up on some of the color you just gave on the U.S. consumer and then some of that lower-income consumer, I think, managing the check a little bit. Just curious if you could elaborate anything more there on the consumer in the U.S. And is that check management largely been consistent with what you've seen in recent quarters? Or are you seeing any of the incidents or intensity there, pick up some? And ultimately, what does that mean as you kind of think about promotions and the evolving value options that you talk about in the U.S. this year. Thank you.
Chris Kempczinski: Sure. I think consistent with what we talked about on the prior call, where you see the pressure with the U.S. consumer is that low-income consumer. So call it, $45,000 and under. That consumer is pressured. From an industry standpoint, we actually saw that cohort decrease in the most recent quarter, particularly I think as eating at home has become more affordable. There's been much less pricing that's been taken more recently on packaged food. So you're seeing that eating at home is becoming more affordable, that I think is putting some pressure from a IEO standpoint on that low-income consumer. If you think about middle income, high income, we're not seeing any real change in behavior with those. We continue to gain share with those groups. But the battleground is certainly with that low-income consumer. And I think what you're going to see as you head into 2024 is probably more attention to what I would describe as affordability. So think about that as being absolute price point being probably more important for that consumer in a lower absolute price point to get them into the restaurants than maybe a value message, which is a two for six or something like that. Those probably are going to resonate a little bit less in 2024, particularly we think in the front half with the consumer there may be something that's lower absolute price points. So that's -- we are set up well to be able to go after that. We have our D123 platform, as you know, and I think you're going to see probably some activity there in the U.S. at the local level to make sure we continue to provide good value for that low-income consumer.
Mike Cieplak: Our next question is from Sara Senatore with Bank of America.
Sara Senatore: Thank you. I wanted to ask about G&A and it came in actually just below the 2.2% of system-wide sales you guided to, which is true despite the fact that I suspect that the system-wide sales were lower than you might have expected in the fourth quarter, given the implications in the Middle East. And so I was just curious to what extent are you able to flex your G&A? I know you usually guide to percentage of system-wide sales, but trying to understand whether sort of internally you actually forecast more along the time -- along lines of dollar spend? And are you seeing any of the -- any improvements perhaps because of Accelerating the Arches? I'm curious to what extent you have flex there.
Ian Borden: Sara, it's Ian. Let me take that one. Well, look, I think you've heard me talk about this before. But the way we think about G&A is kind of in two broad buckets. I mean, firstly, we want to continue to work to run our business as efficiently as we can. We know we've got some opportunities in that area. It's why I talked about in our upfront remarks that we're going to continue to invest in the areas where we think we have strategic opportunities to drive greater efficiency. A lot of that work is going to be led by the Global Business Services organization that we stood up and is driving these transformation efforts in area like HR, finance, tech and getting after spend opportunities in areas like indirect sourcing. So part of what we're focused on is continuing to make those strategic investments so that we can continue to drive greater efficiency in how we operate, which, if you go back to the principles of kind of accelerating the organization, which was really what that whole initiative was designed around was how do we get faster, how do we get more innovative and how do we get more efficient in how we're running the business. The second kind of broad area of G&A spend is obviously investing in the areas that we feel like we've got opportunity to drive growth and strong returns for the business. And part of running the business more efficiently is to make sure we have the resources available to invest behind the opportunities that we believe exist, and we continue to believe we've got significant opportunities. I think we've talked previously to the examples of kind of our tech platforms and digital capabilities where we continue to make significant investment. Those, I think, are really strong examples of the type of growth when you look at the growth mix that are coming from those investments and obviously continuing to drive strong returns for us, and we're going to continue, obviously, to invest behind those growth opportunity areas that we have. And so I think that's -- over time, as you kind of look forward, I do believe we'll continue to be able to gain leverage in G&A as a percentage of sales. But I think certainly in the short term, our focus is going to be in those areas that I highlighted.
Mike Cieplak: Our next question is from Chris Carril with RBC.
Christopher Carril: Thanks. Good morning. So, just on McOpCo margins, I believe you mentioned you expect them to be relatively in line this year versus 2023. So can you expand maybe on some of the puts and takes around this outlook? Maybe any detail on U.S. versus IOM, your cost inflation outlook? And maybe finally, if and where you see opportunity for company margin upside? Thanks.
Ian Borden: Good morning, Chris. Let me take that. Yes, you're right. I think as you said, in our opening comments we talked about the fact that we think our 2024 company-operated margin percent will be roughly in line with where we ended for 2023. I mean, I think there are a few things that are going on, so I'll kind of talk about it, U.S. and then International. I mean I think in the U.S., if you look at kind of commodity inflation for 2024, we think that will be in the low single-digit range. I think wage inflation probably in the mid to higher single-digit range. Part of that is because of the impact of what we're going to have to work through in California, which I know you'll be aware of and the significant wage increases that come into effect there at the beginning of April. I think internationally, on the commodity side, again, I think we expect commodity inflation to be in that low single-digit range. Wage inflation probably in the low to mid-single-digit range. So obviously, we've still got kind of the current inflationary effects. And at the same time, we've got, obviously, carryover from much higher kind of inflation levels that we experienced as we work through 2023. So those are a bit of maybe kind of the -- kind of pressures. Obviously, you've heard us talk about what we think from a sales perspective. So obviously, we're going to get a lift as we continue to grow sales through 2024 landing kind of where I said. But I think we remain really confident that we can continue to drive leverage in margins as we look forward as some of these inflationary pressures begin to settle on a more consistent basis. And we're able to continue to grow sales, which we're obviously really, really confident in our ability to do that with the plans and strategies that we've got in place.
Mike Cieplak: We have time for one more question from Lauren Silberman with Deutsche Bank.
Lauren Silberman: Thank you. Just a follow-up. Given the modest pricing in 2024 in the U.S., do you expect positive traffic then? And then my actual question is on the digital side. Can you talk about any changes as it relates to your approach, specifically to value offers as you look ahead into 2024 in the U.S.? Have a lot of promotions on the app also driving higher ticket, frequency. So just -- to what extent is digital marketing accretive to franchisees? And just any thoughts there. Thank you.
Chris Kempczinski: Sure. Well, as you know, we don't give traffic guidance. So we won't get into kind of a specific what do we expect to see in traffic. But I think it's fair to say that the success in this industry is always about having balance and you need to have both traffic growth and you need to have price growth. That's the long-term formula for success. So that's kind of what we use as our North Star. I think we're set up really well to have that kind of balance. As I look at our business around the world, our brand is in great shape. We are seeing some of our highest customer satisfaction scores around the world. We're seeing our operations in almost every single country around the world get better as we execute our Performance and Customer Excellence program or PACE, as you know it. I think globally, in Q4, we saw service times improve by 10 seconds. And we've got very good alignment with our franchisees. In most of our big markets, we're seeing healthy franchising cash flows. In the U.S., franchising cash flows were up roughly $35,000 last year despite all the price headwinds. So I think we're set up well as a business to have that balance right as part of our long-term focus.
Mike Cieplak: Okay. Thank you, Chris. Thanks, Ian. Thanks, everyone, for joining. Have a great day.
Operator: This concludes McDonald's Corporation Investor Call. You may now disconnect, and have a great day.